Unknown Executive: Good afternoon, everyone. Thank you for your participation in the financial results meeting for the first half FY '21. Now it seems that pandemic of COVID-19, which have been raging around the world since early last year, finally began to regain stability as vaccination rates rose in each country. In Japan as well, restrictions began to ease gradually in October, and it will take some time to contain the pandemic fully since the 6th wave may occur this winter in Japan. But at least, the country seems to be starting to take steps towards recovery. 
 On the other hand, supply chain disruptions triggered by a shortage of semiconductors are continuing, and it is likely that it will take some time -- some more time for uncertainty to be removed. Under this environment, we are steadily working on small but beautiful our current midterm plan. At the same time, we are laying the groundwork for the next steps. 
 Today, we would like to discuss the results of the first half 2021. And afterwards, as much as time allows, I would like to take your questions. 
 Ikeya-san, please take over. 
Koji Ikeya: So I'm Koji Ikeya, Executive Vice President. First, I would like to give you a summary of the first half results. 
 We recognized that the harsh external environment persisted in the first half FY 2021, such as the ongoing lockdown due to the re-expansion of new coronavirus infection, mainly in ASEAN countries, and the tight supply-demand balance triggered by the shortage of semiconductors. The severity of these external environments affected our sales to some extent. 
 On the other hand, as you see, there was a significant year-on-year improvement, thanks to the effects of cost reductions that had continued since the beginning of the fiscal year and the favorable effects of foreign exchange rates. 
 Net sales for the first half increased 55% year-on-year to JPY 890.6 billion. Operating profit improved significantly year-on-year to JPY 25.2 billion due to an improvement in the mix and effect of curbing selling expenses. The OP margin recovered to 2.8%. 
 Ordinary profit was JPY 27.1 billion, mainly due to an increase in equity in earnings of affiliates. Net income was JPY 21.7 billion, mainly due to a gain on sales of investments in subsidiaries and affiliates. 
 And for the second quarter, net sales were JPY 458.7 billion, operating profit was JPY 14.6 billion, ordinary profit was JPY 15.9 billion, and net income was JPY 15.6 billion, and the OP margin recovered to 3.2%. The global retail sales volume was 442,000 units, an increase of 26% year-on-year. 
 Next page, please. The slide you can see explains the factors behind year-on-year changes in operating profit for first half FY '21. In terms of volume, mix and selling price, unit sales increased following the first quarter and the quality of sales in North America and other countries improved, resulting in a year-on-year improvement of JPY 43 billion in total. Although advertising and promotional expenses increased in line with the plan, overall selling expenses improved by JPY 7.3 billion, thanks to the success of efforts to curb incentives. 
 In terms of cost reductions, et cetera, raw material price hike and increase of material costs for product enhancement were offset to some extent by cost reduction activities. In addition, as a result of significant improvements in factory expenses due to the normalization of operations, overall cost improved by JPY 9.1 billion year-on-year. The effects of structural reforms had a positive effect of JPY 14.2 billion year-on-year following on the reform of the -- from the first quarter, due to the contribution of various cost structure reforms implemented in the previous fiscal year. 
 R&D expenses decreased by JPY 4.3 billion as the large-scale product development peaked out in the previous fiscal year. In addition, there was an improvement of JPY 9.1 billion, mainly due to an improvement in after-sales P&L. The overall yen depreciation trend is accelerating, resulting in a positive effect of JPY 20.8 billion year-on-year. In total, operating profit in first half FY '21 increased substantially by JPY 107.8 billion year-on-year. 
 Please turn to Page 5. The slide you can see explains the factors behind year-on-year changes in operating profit for Q2 FY '21. In terms of volume, mix and selling price, although sales in the ASEAN region fell below the previous fiscal year due to a worsening of the region and the product mix, in North America and other regions, there were positive effects such as an increase in unit sales and improvement in profitability. As a result, overall operating profit increased by JPY 10.5 billion year-on-year, while advertising and promotional expenses increased in line with the plan, incentives were curbed, resulting in a positive effect of JPY 4.3 billion. 
 Cost reduction, et cetera, as in the first quarter, had a positive effect of JPY 7 billion year-on-year, mainly due to the impacts of raw material price hike, offset by activities to reduce material costs and curtail factory expenses. The effects of structural reforms continued to work positively with an upturn of JPY 3.5 billion year-on-year. 
 Similar to the first quarter, R&D expenses has a positive profit effect by JPY 7 billion due to factors such as the peak-out of large-scale product development. In addition, operating profit increased by JPY 8.9 billion year-on-year due to reduction in indirect labor costs and an improvement in after-sales P&L in line with an increase in unit sales. 
 Regarding foreign exchange rates, the overall trend of yen depreciation continued, resulting in a positive effect of JPY 9 billion. In total, significant Y-o-Y, year-on-year, increase of JPY 43.9 billion was recorded in the second quarter as well. 
 Now please turn to Page 6. Now I would like to explain our global sales volume of first half FY '21. Our total sales in the region -- in all regions increased by 26% year-on-year to 442,000 units. In the following slides, I would like to explain the status of the main regions. 
 Next page. From this slide, I would like to explain each status of sales in our core markets in North America and Japan. First of all, in ASEAN countries, although there was a recovery trend for a moment in the Q2, there were repeated lockdowns due to the re-expansion of the new coronavirus in each country, which also had a certain impact on our sales. Amid this business environment unit, sales increased 51% year-on-year to 107,000 units. 
 In Thailand, although the market showed recovery in the first quarter, consumer sentiment deteriorated again in the second quarter due to the impact of stay-at-home Cabinet order. Our sales were also affected by that. 
 In the Philippines, although the market recovered year-on-year, demand for new cars has not yet recovered to its previous level due to repeated lockdowns. Sales in some segments were also sluggish due to part of the tightening of the bank loan screening. 
 In Vietnam, where restrictions on the behaviors were gradually tightened due to the worsening of the fourth wave of COVID-19 from the end of April, the overall market slowed significantly, particularly in the second quarter. 
 On the other hand, in Indonesia, in addition to the decision to extend the luxury tax exemption measure, resource prices and demand for transportation of consumer goods were firm and demand recovered strongly. Our sales were also strong. 
 Demand is expected to gradually recover in the second half of this fiscal year as each country relaxes restrictions on the mobility of people. We will continue to work on measures to strengthen sales to each country while closely monitoring market trends. 
 Please look at Page 8. In the other core region of Australia and New Zealand, as in the ASEAN region, lockdowns were again implemented due to the re-expansion of COVID-19 this summer, but the automotive market is all performing well. We steadily increased our market share, and unit sales increased 50%, 5-0 percent, year-on-year to 45,000 units. 
 In this environment, sales volume in Australia exceeded the planned level due to the contribution of new models as well as prioritized supply of major models amid the shortage of semiconductors. On the other hand, the competition is becoming increasingly fierce, and market share gains were limited to a slight increase. 
 In New Zealand, both unit sales and the market share grew significantly, thanks to the success of the campaign for the current OUTLANDER model, which was implemented prior to the model change of the OUTLANDER by aggressively building up stock. 
 We anticipate that the impact of COVID-19 will regain a certain level of stability, but vehicle supply constraints due to the impact of semiconductor shortages will continue. We continue to optimize the model allocation while maximizing the impact of new model launches. 
 Now please turn to Page 9. Next, I will explain the current status of our North American business. Overall demand in North America increased substantially, particularly in the first quarter due to progress in vaccination in the U.S. and payment of government grants to boost economic recovery, et cetera. From the second quarter onwards, despite firm demand, sales continue to decline due to supply constraints as a result of a shortage of semiconductors and supply chain disruptions in ASEAN and further stagnation of operations due to labor shortages in the United States. 
 In addition to overall market growth, the new OUTLANDER, which was launched in April, drove sales, and dealer retail sales recovered to the same level as in the first half of FY 2019. In addition, incentives have been reduced mainly for new models since April. And even in models that have been relatively aging, we have been able to accelerate reductions since then and return to profitability. 
 Going forward, we anticipate that it will take a certain amount of time to resolve car supply shortages due to semiconductor shortages. We will continue to maximize the efforts -- effects of new model introductions while steadily implementing various sales programs tailored to customers and maximizing after-sales revenue. 
 Please turn to Page 10. Finally, I will explain the status of our domestic market. Overall demand in Japan has been recovering since the previous year, when it was significantly sluggish due to the spread of COVID-19. However, due to a shortage of car supply affected by semiconductor shortages, there was no recovery to prepandemic levels. We were also affected by that, particularly in our mainstay models. But as a result of the -- taking measures to expand sales, such as aggressively running campaigns, we increased sales by 26% year-on-year to 34,000 units. In addition, we have been promoting various sales operational reforms since last year. And as a result, the profitability of our sales subsidiaries has improved significantly. 
 Going forward, we assume that the impact of the spread of COVID-19 will be limited compared to FY 2020. On the other hand, we anticipate that it will take a certain amount of time to resolve semiconductor shortage, and we expect that uncertain situation will continue. 
 The new OUTLANDER PHEV model, which we announced recently, has been highly respected since -- immediately after its launch. We will leverage this model to further promote sales operational reforms. In addition, we will expand the PHEV model in lineup of the SUVs together with the ECLIPSE CROSS PHEV model to meet customer needs for realizing carbon neutrality in the future. 
 Next, we would like to explain our earnings forecast for FY '21. Kato-san, please. 
Takao Kato: Please turn to Page 12. In the first half of year '21, despite headwinds in our core market ASEAN region, such as re-expansion of COVID-19 and insufficient supply of product due to semiconductor constraints, we were able to exceed our plans due to recovery in demand, particularly in developed countries where vacation has progressed, steadily emerging effect of structural reforms, progress in improving the quality of sales and the depreciation of the yen. 
 In the second half of FY '21, despite risks such as COVID infections, semiconductor constraints and the exchange rate of fluctuation, based on the results of the first half FY '21, we expect to achieve the operating profit target JPY 50 billion, which was set in the current midterm plan, 1 year ahead of schedule. As shown on the slide, we revised our full year forecast again. We have revised unit sales from 967,000 units to 903,000 units and net sales from JPY 2.08 trillion to JPY 2.01 trillion, mainly reflecting the decline in unit sales in the first half of FY '21. 
 Meanwhile, we revised operating profit from JPY 40 billion to JPY 60 billion, ordinary profit from JPY 36 billion to JPY 58 billion and net income from JPY 15 billion to JPY 40 billion, reflecting a drastic improvement in profitability and cost reductions. 
 In the second half, we will continue to expand the sales territory of the new OUTLANDER and maximize the impact of the launch of the new OUTLANDER PHEV announced on October 28. At the same time, we will optimize costs to cope with various risks and make every effort to achieve the revised full year forecast. 
 Please turn to Page 13. The full year sales forecast for FY '21 was revised from 967,000 units announced in July to 903,000 units, considering factors such as greater-than-expected decline in sales in the first half due to the impact of production cutbacks caused by delays of semiconductors and other parts and the fact that the impact will remain in the second half of the year. 
 In the current fiscal year, it is very difficult to assess which region or which model will be affected by the delay of semiconductors and other parts. And it is expected, transfers will occur whenever necessary among regions. Therefore, we will refrain from disclosing the sales volume forecast by region. We appreciate your understanding. 
 Please turn to Page 14. The factors behind changes from the FY '20 actual to the revised forecast for FY '21 are shown in the slide. Volume and mix, selling price are expected to increase by a total of JPY 74.8 billion due to an increase in unit sales from the previous year and an improvement in selling prices. Regarding selling expenses, although advertisement expenses will be increased as planned, we plan to curb incentives to generate a positive effect of JPY 14.1 billion year-on-year. 
 In cost reductions, although raw material price have risen much higher than planned, we expect an overall improvement of JPY 4.1 billion by reducing material cost and curbing factory expenses to offset the raw material price rise. R&D expenses improved year-on-year in the first half of the fiscal year. We anticipate an increase in product development expenses in the second half, so we expect a decrease in profit of JPY 6.2 billion as expected at the beginning of the fiscal year. 
 Regarding structural reforms, we have seen more positive effect than expected, and we expect an increase of JPY 21 billion. In addition, an increase of JPY 8.1 billion is expected due to an improvement in after-sales [ P&L and P&L ] of major domestic subsidiaries. The effect of foreign exchanges is also expected to increase operating profit by JPY 39.4 billion. 
 Please turn to Page 15. The factors behind changes from the previous operating profit forecast to the revised forecast for FY '21 are shown in the slide. Volume and mix, selling price are expected to decrease by a total of JPY 15.2 billion as the effect of improved mix, selling prices will partially offset the decline of sales volume due to the shortage of semiconductors and the expansion of COVID-19 in ASEAN. Regarding sales expenses, we expect a positive effect of JPY 20.6 billion due to improvement in the cost effectiveness of advertisement expense and the curbing of incentives. 
 Regarding cost reduction, we believe cost reduction and the improvement in the factory expenses can be implemented as planned. However, it is difficult to offset all the impacts of raw material price hike, and we expect a negative effect of JPY 8.6 billion. We assume that the effect of structural reforms will continue throughout the year and expect an increase of JPY 3.1 billion. 
 In others, we expect a positive effect of JPY 5.4 billion due to improved profitability of after-sales business and major domestic subsidiaries. The foreign exchange impact is also expected to increase operating profit by JPY 14.7 billion, incorporating the upside in the first half and the revise the exchange rate for the second half. 
 Please turn to Page 16. Next, we would like to explain our business highlights for first half of FY '21. 
 Please turn to Page 17. As many people already know, the new OUTLANDER launched in North America in April has been highly regarded by customers. Sales remained strong with record sales in the U.S. in September. In addition to unit sales, the popularity of higher grades was much higher than originally targeted, and our customer creditworthiness also improved significantly from the old model. Regarding product appeal, we were selected for the first time to Best -- 10 Best Interiors, and we have also received a strong reputation from the media for luxury texture and design. 
 Since its launch in New Zealand in September, we have been flooded with inquiries from customers. In Australia, where the OUTLANDER has been launched recently, a large number of customers have already registered on our website. In addition, since the subsidy for EVs was recently announced, many inquiries have been received in Australia and New Zealand for the PHEV model that has not yet been announced there. Going forward, we will prevent opportunity losses by minimizing the reduction in production due to the shortage of semiconductors, and we will gradually expand sales territories globally. 
 Please turn to Page 18. On October 28, we held an online launching event on the new OUTLANDER PHEV for the domestic market. Since sales will begin in Japan in coming December. 
 OUTLANDER is Mitsubishi Motors first crossover SUV launched in 2001, and this is our flagship model that is being rolled out globally across 3 generations. Its plug-in hybrid model has been deployed globally since 2013 and has become a leader in the PHEV category with around 290,000 total units sold thus far. 
 The new OUTLANDER PHEV model is equipped with a new generation PHEV system that is stronger and drives a longer distance, enable people to experience safe, secure and comfortable driving in various weather and road conditions. And based on the product concept of I-Fu-Do-Do or authentic and majestic in Japanese, the new OUTLANDER PHEV won the Good Design Award 2021 run by the Japan Institute of Design Promotion. 
 At the Prototype Test Drive event held the other day, many of the participants commented that driving is pleasant and driving is comfortable. We think that the evolved Twin Motor 4WD/S-AWC gave us the commendation for the driving unique to Mitsubishi Motors. 
 In addition to driving, there are many comments such as premium electric SUV suitable for Mitsubishi Motors flagship. And the price range is also affordable. And a few days since the launch of the event, we have already received orders that exceeded the '21 calendar year target. The expectation for sales are rising. The new OUTLANDER PHEV, which will be launched in Japan, will be successfully rolled out globally to enhance our brand value. 
 Please turn to Page 19. As mentioned earlier, in the ASEAN market, we are planning to introduce our new XPANDER and plan to announce it on Monday, November 8. Starting with Indonesia, this model will be gradually rolled out in ASEAN. 
 This product has been improved in various ways from the exterior and interior to the powertrain. Combining the best functions and comfortableness, we can provide a sense of adventure to customers. 
 First, we hope to successfully launch the new XPANDER and meet the expectations of many of our customers. We will continue to strengthen the model cycle management, while further enhancing our model lineup. 
 Please turn to Page 20. As recently announced, we have decided to participate in demonstration tests to contribute to the realization of carbon neutrality by providing a total of 20 mini-commercial EVs, Minicab MiEV, to the Oyama Post Office in Tochigi Prefecture and the Numazu Post Office in Shizuoka Prefecture, as one of our initiatives based on the "Agreement on Cooperation between the Japan Post Group and the TEPCO Group for a Low Carbon Society."
 We will participate in this experiment and collect and analyze the running data of the Minicab MiEV, used for collection and delivery of post offices as well as data on changes in battery levels. We will then work to improve the running performance of our EVs used by the post office, and our commercial EVs as a whole so that we will contribute to the spread of EVs in Japan. As I mentioned before, we have received a high interest in Minicab MiEV in Japan, and we have agreed with about 40 companies to introduce it on a trial basis. 
 In addition, not only Japan, but also in ASEAN region, demand is growing for solutions to realize carbon neutrality that leverage our sales performance over the past decade. At the same time, our customers have deepened their understanding and the benefits of using EV in operations. With feedback from our customers, we will propose a variety of solutions and operational support services, while enhancing our product as soon as possible and contribute to the wider use of Kei EVs. 
 Please turn to next page. As in FY '20, the environment surrounding us was challenging and uncertain in the first half of FY 2021. However, our profit improved significantly year-on-year due to a recovery in sales, the result of fixed cost reductions and the favorable effect of foreign exchange rates. Going forward, we are aware of risk factors, such as the shortage of semiconductors, the respread of COVID-19 and the impact of soaring raw material prices. However, in light of the actual condition in the first of FY '21, we have revised up our full year forecast from the first quarter. 
 On the other hand, our next challenge will be how to draw up our growth strategy for the future. Specifically, we have begun considering what kind of plans should be made for the next few years while considering what the world is going to be in 15 years' time. Of course, we cannot easily predict what the world will be in 15 years' time. But as we consider a variety of scenarios, we will work together to think about what Mitsubishi Motors should be in the future. 
 In addition, while deepening discussions on what [ cause ] of choice for customers, we intend to establish the unique characteristics of Mitsubishi Motors based on environment, safety, security and comfort. While considering the future in this way, we will do our utmost to achieve the revised plan for the current fiscal year by striving to further improve profitability without becoming completely satisfied with the current situation. 
 Thank you for your attention. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]